Operator: Welcome to Workday's Fourth Quarter and Full Year '25 Earnings Call. [Operator Instructions] I will now hand it over to Justin Furby, Vice President of Investor Relations.
Justin Furby: Thank you, operator. Welcome to Workday's fourth quarter fiscal 2025 earnings conference call. On the call, we have Carl Eschenbach, our CEO; Zane Rowe, our CFO; and David Somers, our Chief Product Officer. Following prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website where this call is being simultaneously webcast. Before we get started, we want to emphasize that some of our statements on this call, particularly our guidance are based on the information we have as of today and include forward-looking statements regarding our financial results, applications, customer demand, operations and other matters. These statements are subject to risks, uncertainties and assumptions that could cause actual results to differ materially. Please refer to the press release and the risk factors and documents we file with the Securities and Exchange Commission, including our fiscal 2024 Annual Report on Form 10-K and our most recent quarterly report on Form 10-Q for additional information on risks, uncertainties and assumptions that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Workday's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results in our earnings press release, in our investor presentation and on the Investor Relations page of our website. The webcast replay of this call will be available for the next 90 days on our company website under the Investor Relations link. Additionally, the transcript of this call and our quarterly investor presentation will be posted on our Investor Relations website following this call. Also, the customers page of our website includes a list of selected customers and is updated monthly. Our first quarter fiscal 2026 quiet period begins on April 15, 2025. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2024. With that, I'll hand the call over to Carl.
Carl Eschenbach: Thank you, Justin, and thank you all for joining us today. Workday delivered another solid quarter in Q4 with 16% subscription revenue growth and 26% non-GAAP operating margin. These results are a testament to how businesses of all sizes, industries, and geographies are increasingly turning to Workday as their trusted partner, and I'm incredibly proud of how our teams executed in Q4 to deliver a solid year. As organizations look for ways to boost productivity and run more efficiently, our value proposition has never been stronger. Workday gives them the ultimate advantage, helping them manage what matters most, their people and their money. And with our unified platform, our customers can unlock value faster, reduce our total cost of ownership, and harness the power of AI across our best-in-class HR and finance solutions. On the AI front, we just launched the Agent System of Record, a centralized system to manage all of an organization's AI agents from Workday and third parties alike. With this innovation, our customers will be able to manage their entire workforce, humans and digital on our trusted platform. I'll talk more about this exciting announcement later in the call. But now let's turn to our customers and industry momentum in the quarter. During Q4, we welcomed incredible new customers, including Bayer, Henkel, Iberostar, The State of North Carolina, and First Citizens Bank & Trust Company. We also expanded with industry leaders including Cisco, Mondelez, Sutter Health, and Toyota. Workday now serves more than 11,000 customers across industries and geographies, including more than 60% of the Fortune 500 and 30% of the Global 2000, and that says a lot about the strategic nature of our platform. Our industry focus is a huge contributor to this growth and Q4 was no exception. In SLED, the City of Minneapolis, St. Louis County, and City University of New York all chose our full suite in Q4. We also signed our largest Workday Student deal ever with the Minnesota State Colleges and Universities. This is a massive project to improve the experience for 270,000 students in 14,000 faculty. Workday Student is quickly gaining traction as the top choice for higher-education institutions. We now have more than 135 customers and we expect roughly half of them will be live by the Spring. After rapid adoption here in the U.S., we're excited to expand Workday Student into Canada and the Australia/New Zealand markets this year. We also have a growing opportunity with the U.S. federal government thanks to the administration's strong focus on driving efficiencies and IT modernization. Our recent wins at the DOE and DIA have helped set a solid foundation in this sector, opening up a number of exciting Fed opportunities. Financial services continues to be one of our largest industries. In Q4, we had significant expansions with Aon in Sallie Mae Bank, and we closed a large core FINS deal with a Fortune 500 organization. Healthcare also once again delivered with notable full suite wins including North Mississippi Medical Center, Hackensack Meridian Health, and UnityPoint Health. More than 30% of our net-new wins in the quarter were full suite and across our focus industries of SLED and healthcare, that number climbs to 50%. We had a record number of core FINS wins in both Q4 and the full fiscal year. We now have over 6,100 core HCM and Financials customers and more than 2,000 of them are leveraging our full suite. Our investments in Financials, both in innovation and go-to-market continue to pay off with strong growth in new ACV in Q4. In addition to a record number of core financials wins, we saw strong momentum for our financial planning, accounting center, student and procurement solutions, and we continue to see increasing demand for AI solutions. In fact, AI is front and center in every conversation I have with customers, prospects and partners. They want to move beyond incremental productivity gains. They're also looking for ROI that helps them drive growth back into their business. Similar to Q3, we once again saw 30% of our customer expansions involve one or more AI SKUs including Extend Pro, Recruiting Agent, Evisort, and our recently rolled-out Talent Mobility agent. Extend Pro, which enables our customers to build AI applications on top of our platform, continues to be one of our fastest-growing SKUs. In Q4, new ACV more than doubled over Q3. Developer Copilot, which is part of Extend Pro, is delivering real results. We're hearing from customers that they're seeing productivity gains of over 50%. This is helping them build apps much faster. Recruiting Agent had an exceptional close to the year with wins at BP, Genpact and many more. New ACV in Q4 nearly doubled from Q3. And this product continues to boost the average selling price of our core recruiting solution. In fact, in Q4, it was even higher than the 1.5X uplift we reported in Q3, a great example of customers' willing to pay for high ROI solutions. Our approach to AI has always been customer-centric. While others rushed to charge for early GenAI features, we integrated them into our core offering. Now that our AI has evolved and is delivering tangible ROI, we have new monetization opportunities that will fuel our long-term growth. And perhaps more importantly, we are further distancing ourselves from the competition. With more than one trillion transactions processed on our platform in FY '25, our AI leverages the world's largest and cleanest HR and Financial dataset. And the combination of this data with our ability to understand the context behind it puts Workday in a unique position. Following the announcements of our new role-based agents at Rising, we launched four more agents for contracts, payroll, financial auditing and policy. These are not task-based agents, like most in the market today. Our role-based agents contain a configurable set of skills that give them greater ability to support people in their roles. Each has multiple skills and can perform a large number of tasks. That's where the true ROI is and where we see that customers are willing to pay. Over the past year, hundreds and maybe thousands of agents have been introduced to the market across a number of vendors. As more agents are deployed, organizations risk fragmented operations, increased security risk, and difficulty measuring the true value of their AI investments. At this point, there's no central place to manage agents and there's a real risk of sprawl. That's what the Workday Agent System of Record aims to solve. It will manage a business' entire fleet of AI agents alongside their human workforce, all on a trusted platform. And it won't just manage Workday agents, it will also manage customer-built agents and partner-built agents. Since the launch, we've had strong interest from our customers and technology partners, who'd like access to Workday's Agent System of Record to mitigate risk in the enterprise. Partners continue to play a strong role in Workday's growth, and they also extend the power of the Workday platform. In Q4, more than 15% of our net new ACV was sourced through partners, up from more than 10% last quarter and we're just getting started. Not only are we leaning into partners to drive increased pipeline for our core products, but we're also collaborating with them to create new lines of business through partner programs like Workday Wellness, where we signed five strategic partners in Q4. And we're innovating with them as well. Our Built on Workday program continues to gain traction. Since its launch at the end of June, we have 72 partners building and selling applications on the Workday platform. Finally, in the quarter, we also signed our first strategic talent partnership with Randstad, which brings together the power of Workday Recruiting Agent with the global candidate data pool of the largest talent company in the world to help our customers increase hiring efficiencies and drive better talent outcomes. Turning to international, we delivered solid performance across a number of our key geographies in Q4. We also hosted a record-breaking EMEA Rising in December with 5,000 attendees, which helped drive momentum in the quarter. Despite the continued macro headwinds in EMEA, our two largest markets, the U.K. and Germany had their strongest quarter of the year. This shows what I've said many times. When customers are ready to make a spending decision, Workday is the choice. In the DACH region, we formed some fantastic new relationships in our competitors' backyard. In Q4 with great German companies like Bayer and Henkel selecting Workday core HCM. In APAC, we had several important wins, including Binance, Nine Entertainment and JINGDONG. And in Japan, we're continuing to build the foundation to grow in this important market with the opening of our Osaka office. I want to thank my Workmates, our customers and our partners for helping us end FY '25 strong. I'd also like to recognize Doug Robinson for helping us close the quarter on a high note. Thank you, Doug, for your dedication to building this company. Before we close, I'd like to share a couple other leadership updates. After 10 incredible years, Sayan Chakraborty has decided to retire from Workday. He has been a driving force for our innovation strategy and we can't thank him enough for the impact he has had. With Sayan's retirement from Workday, we're excited to welcome Gerrit Kazmaier as our new President of Product and Technology. Gerrit joins us from Google, where he led data analytics and BI for Google Cloud. Prior to that, he spent nearly 11 years with SAP. With his expertise in AI, data, ERP, and enterprise business processes, Gerrit is the ideal person to lead our Product and Technology strategy. Gerrit will start on March 10, and Sayan will stay on as an advisor through the end of May to help with the transition. It's been a year of change at Workday, and we'll continue to evolve in the coming year to go after the massive opportunity ahead of us. Our recent restructuring was a tough, but necessary decision that will help us invest in the business to meet our customers' needs. We're entering FY '26, our 20th year in business, with an amazing team, renewed energy, and a clear view of how we can fulfill our founders' vision to revolutionize enterprise software, this time with AI. Thanks again for joining us. And with that, I'll hand it over to Zane.
Zane Rowe: Thanks, Carl, and thank you to everyone for joining today's call. Our Q4 results were driven by solid performance across key growth areas of the business including continued momentum with full suite and our financials solutions, growing demand for our AI SKUs, and strong execution across key industries. Turning to results, subscription revenue in Q4 was $2.040 billion, up 16%, benefiting from favorable linearity of new ACV bookings within the quarter. Full year FY '25 subscription revenue was $7.718 billion, growth of 17%. Professional services revenue was $171 million in the quarter and $728 million for the full year. Total revenue in Q4 was $2.21 billion, growth of 15%, and for the full year was $8.45 billion, up 16%. U.S. revenue in Q4 totaled $1.66 billion, up 15%, and international revenue in the quarter was $556 million, growing 16%. For the year, U.S. revenue was $6.33 billion, up 16%, and international revenue was $2.11 billion, up 17%. 12-month subscription revenue backlog, or cRPO, was $7.63 billion at the end of Q4, growing 15%. Early renewal activity in the quarter was slightly higher than expected and contributed to the outperformance. Total subscription revenue backlog at the end of Q4 was $25.06 billion, up 20%, and gross revenue retention rates remained strong at 98%. Non-GAAP operating income for the fourth quarter was $584 million, representing a non-GAAP operating margin of 26.4%. The year-over-year improvement benefited from a combination of revenue outperformance, ongoing cost discipline, and improved efficiencies across the company. Full-year non-GAAP operating income was $2.19 billion, reflecting a non-GAAP operating margin of 25.9%. GAAP operating income in the quarter was impacted by a $75 million charge, primarily related to the previously announced restructuring. Q4 operating cash flow was $1.11 billion, resulting in full-year operating cash flow of $2.46 billion, growth of 15%. We repurchased $99 million of our shares during the quarter and $700 million for the full year, helping drive annual dilution below 1% for the year. The timing and amount of our repurchase activity in the quarter was impacted by trading constraints. We had $802 million in remaining authorization as of year-end. We ended the year with $8 billion in cash and marketable securities. Our headcount as of January 31 was approximately 20,400 workmates, not reflecting the restructuring that took place in early February, which we expect will reduce our workforce by approximately 8%. Now turning to guidance. We're pleased with the execution we are driving across several of our key strategic areas, and given our solid performance in the fourth quarter, we continue to expect FY '26 subscription revenue of approximately $8.8 billion, growth of 14%. This outlook incorporates the impact of the continued strengthening of the U.S. dollar, which is a roughly $20 million incremental headwind since we provided guidance last quarter. We anticipate Q1 FY '26 subscription revenue to be approximately $2.050 billion, growth of 13%, or 14% when normalizing for the effect of the leap year last Q1. We expect cRPO to increase between 14.5% and 15.5% in Q1. We expect subscription revenue to increase roughly 5.5% sequentially in Q2. We continue to expect a slightly faster pace of year-over-year subscription revenue growth in the second half of FY '26 relative to the first half. This is driven by continued momentum across our investment initiatives, in addition to revenue building from certain deals we closed in FY '25 and discussed on our last earnings call. We anticipate FY '26 professional services revenue of approximately $700 million as we continue to leverage our partner ecosystem. For Q1, we expect professional services revenue of $165 million. We expect FY '26 non-GAAP operating margins of approximately 28%. This outlook incorporates an accelerated pace of AI investment across our platform and targeted investments across key areas of the business. We will also continue to drive efficiencies and look for improvements in operating our business at scale. For Q1, we expect a non-GAAP operating margin of 28%. GAAP operating margin for the first quarter is impacted by the previously announced restructuring. We expect to incur an additional restructuring expense of approximately $180 million in the quarter, which will be excluded from our non-GAAP results. We expect the GAAP operating margins to be approximately 30 percentage points and 21 percentage points lower than our Q1 and full-year FY '26 non-GAAP operating margins respectively. The FY '26 non-GAAP tax rate is expected to be 19%. We expect FY '26 operating cash flow of $2.75 billion, which includes roughly $180 million of cash outflows related to the restructuring, which we expect will be incurred in the first half of FY '26. We expect FY '26 capital expenditures of approximately $250 million, down slightly from FY '25. We enter the new fiscal year with clear momentum, and are focused on investing strategically to support our medium-term objectives of mid-teens subscription revenue growth and 30% non-GAAP operating margin, while building the foundation to support enduring growth and margin expansion. With that, I'll turn it back over to the operator to begin Q&A.
Operator: [Operator Instructions] The first question is from Mark Murphy from JPMorgan. Please go ahead.
Mark Murphy: Thank you very much. Congrats. It's nice to see the cRPO dollars added a figure. I believe reached its highest-level ever. I wanted to ask if you can walk us through the vision and the scale of the investment that you think is required for the agent system of record? I'm curious if a chunk of the savings from the restructuring are going to be redirected into building that agent system of record? And then do you - relating to that, do you have any lighthouse customers that are raising their hand in some way saying we want to manage entire fleets of agents, including some third-party agents using that product?
Carl Eschenbach: Yes. Hi, Mark, this is Carl. Before I answer your question, if you don't mind, I'd just like to again thank my Workmates partners and customers on a really good Q4 and a solid FY '25 finish. The diversity and durability of our business and the demand for the Workday platform has continued to help us drive towards our goal of delivering durable growth at-scale and expanding operating margins. Again, thank you to everyone. So let me start by answering your question around investments. As we said in my prepared remarks, a restructuring is never something easy to do, but we thought it was absolutely necessary for us to be able to reinvest back in specifically into product and technology organization around our Agent System of Record that we announced two weeks ago. We have seen since that announcement an incredible uptake in interest both from customers and from our partner community who want to build agents and understand there is a risk of them entering the enterprise in an uncontrolled way. So there's no doubt this investment is required because of the demand we're seeing. It's also required on the go-to-market side where we're going to continue to invest to be able to take the Agent System of Record along with all of our role-based agents deeper into the enterprise. And David, who runs product for us, anything to add there?
David Somers: Yes. No, I mean I think we've been extremely pleased with the response that we've gotten and you mentioned this, Carl, not with just customer response in terms of Agent System of Record, but also from partners. And yes, there - I think one of the specific questions you asked was interested in not only managing Workday agents within that product, but also third-party agents. And we see a lot of interest in both of those areas, whether that's customer-built agents or even third-party partner-built agents being managed within the Agent System of Record. So once again, significant opportunity we see to deliver value to our customers there.
Carl Eschenbach: Thanks, David.
David Somers: Yes.
Mark Murphy: Thank you.
Operator: The next question is from Kash Rangan from Goldman Sachs. Please go ahead.
Kash Rangan: Hi, thank you very much and congrats on the nice finish to the year. Carl, one question for you. You guys have tremendous visibility in your business, your backlog is a cRPO three times over, right? So - but on the flip side, as you have contracts that come up for renewal from presumably 2022 levels with customers signed a three-year contract 2022, they're coming up renewal 2025, what is the health of that renewal base look like, especially in a world with AI, without AI that there is workforce reductions happening? And as you overlay your AI upsell on-top of that, what are the opportunities for the company to - upon the renewal to attach itself and its impressive list of AI products so as to ensure that you're able to grow to meet your goals? Thank you so much. That's it for me.
Carl Eschenbach: Yes. Thank you, Kash, and thank you for the question. Yes, we do have good visibility for the next many years on the renewal opportunity we have here at Workday. That being said, as you know, we do not wait for the renewal opportunity to sell back into our customer-base. For example, we highlighted again for the second consecutive quarter that we were able to sell an AI SKU back into our customer-base more than 30% of those transactions, which is the second quarter in a row. And specifically, the uptake we're seeing on our Recruiting Agent and Extend Pro allow us to sell back into that customer-base, both of them almost doubled quarter-over-quarter. So we have great visibility in our existing customer-base, the renewals, but more importantly, Kash, as we've been doing in the last couple of years, we're not waiting for renewals to sell back into the customer-base, the products and SKUs we have today. We also know that we have a number of new AI agent SKUs that we'll be rolling out over the next 6 to 12 months and they also give us a great opportunity to sell back into that customer base. So, we're excited about the customer base, which is now the more than 6,100 customers and we're excited about how we're selling to them today and what the future looks like with all of our new agents that we're bringing to market.
Zane Rowe: Hi, Kash, it's Zane. I'll just add. If you look at that renewal opportunity, just that baseline opportunity that Carl is going to leverage off, the growth in the upcoming year is very similar to what we saw in the prior year. So there's obviously some variability quarter-to-quarter, but we feel good about the growth and the opportunity heading into FY '26 as well. And that was part of the reason you attributed to the strong cRPO as well. Obviously, it's that go-to-market motion and how we're selling back into the base and growing from that.
Carl Eschenbach: Yes, the other thing I should probably highlight, Zane, is the fact that our create and close momentum in the quarter where we did not see an opportunity in the pipeline that we ended-up selling back into our customer base was the strongest we'd seen all year. So that was another good selling motion and I was really proud of how the team executed on creating opportunities in a given quarter and closing them at the same time.
Kash Rangan: Good proxy for SMB business I've taken. Thank you so much, Carl and Zane.
Carl Eschenbach: Thanks, Kash.
Zane Rowe: Thank you.
Operator: The next question is from Kirk Materne from Evercore ISI. Please go ahead.
Kirk Materne: Yes, thanks very much and congrats on a nice finish to the year. I think this one is probably for Zane. Zane, obviously, your guidance for the year sort of infers to a little bit acceleration from the first-half to the second-half, you went through some of the reasons why. Just two - sort of two-part question around that. I guess, one, in the back-half of the year, are you guys expecting much contribution from some of the agent revenue or some of the agents that you've put out over the last six months? And I guess secondly, you had a strong fourth quarter. Do you feel better about that sort of opportunity or sort of just the visibility, I guess, into the back-half of the year today versus three months? I know 4Q is a big bookings quarter for you. So I think that your visibility is perhaps a little bit better today than it was then. You guys just reiterated guidance, so that infer that, but I was wondering, if you just put a little bit more color around that? Thanks.
Zane Rowe: Of course, Kirk, I'll start, then I think Carl probably want to add to it. I mean, as you point out, we are very pleased with the strength in Q4 in a variety of areas, most notably some of the newer opportunities that we have, in particularly, around AI. As it relates to your first question on agents, we haven't built-in, I'd say, meaningful amount of dollars tied to agents just as we expect to roll them out through the course of the year. So there's not a meaningful amount attributed to agents. I also called out the fact that we've got a little bit more headwind related to FX and we updated you last quarter, we had incorporated that into that visibility and into that forecast. Obviously, now we've taken that into account on the additional, I think I called out about $20 million in my prepared remarks. So we see a little bit of pressure there, but the underlying business was really strong in the fourth quarter. And as you point out, we've got better visibility as we look at FY '26 in a number of key growth areas that are well supporting the outlook we have. In addition to that, while it's not always tightly correlated, we feel very good about the cRPO that we've built and it's that aggregate level that we focus on.
Carl Eschenbach: Yes. And as it relates to AI in its contribution, we're already seeing the contribution from our Recruiting Agent, and things like Extend Pro, which I indicated earlier, have grown now 100% quarter-over-quarter, but we're also seeing early evidence in something like Evisort, Talent Optimization. We have a new agent out called Talent Mobility Agent. And then we did announce four new agents at our agent System of Record event two weeks ago that will not be available to the second half of the year. They were the policy agent, contract agent, financial audit agent, and payroll agent. And we don't see them attributing a whole lot to the current guidance we have for FY '26 because they'll be in early access at rising later this year.
Kirk Materne: Super. Thank you all.
Carl Eschenbach: Thanks, Kirk.
Operator: Next question is from Brad Sills from Bank of America. Please go ahead.
Brad Sills: Wonderful. Thank you so much. I wanted to ask a question about international. We haven't heard from a lot of companies that Europe was a source of strength this quarter. I know it's been a focus area for you so I would love to get some color as to where you're seeing strength in Europe, how do you feel about the feet-on-the-street that you have over there, which countries are working nicely in the go-to-market and some of the progress and which ones would we expect to see more progress from going forward. Thank you.
Carl Eschenbach: Yes. Thanks, Brad. As you know, we've called out for the last couple of years that we have a significant opportunity internationally. You guys know the math, 75% of our revenue comes from the U.S., and only 25% outside of the U.S. yet. More than 50% of our addressable market is outside of the U.S., and that hasn't changed. Specifically, as we think about EMEA, I think for the entire year, we've called out that it was more of a headwind than a tailwind compared to the years past and that was quite honestly no different for us in Q4. That being said, the teams had a really strong finish to the year in Europe, specifically in two of the biggest markets, both the U.K. and Germany delivered really solid results. Now we wouldn't say one quarter of strength is a trend so we expect more of the same in FY '26, but we do expect to continue to invest in the business internationally because of the size of the market we have to go after. And we expect when customers do ultimately make a decision to move forward with a large transformation project, they always go or should I say most of the time go with Workday. And two examples of that were in our - one of our biggest competitor's backyard. I called them out in my prepared remarks. In Germany, we closed two large HCM opportunities with Henkel and Bayer, and they were out there for many quarters and they finally decided to move forward and selected us. So that's just an example of the momentum when someone does make a decision that we have around our solution and the value we're bringing to our customers and prospects.
Zane Rowe: Hi, Brad, and just to tie that to our forecast as we look at FY '26, we're not considering any meaningful change in the environment, at least from the macro perspective in Europe. So we're still very pleased with the product that we're continuing to build there, the team we have on the go-to-market side, and our deliverables, but we're not having - we're not expecting any material change at least from the environment.
Brad Sills: Understood. Wonderful. Thanks so much, Zane and Carl.
Zane Rowe: Thanks, Brad.
Operator: The next question is from Raimo Lenschow from Barclays. Please go ahead.
Raimo Lenschow: Hi, perfect. Congrats from me as well. And any expectations for change in go-to-market now with Rob Enslin kind of finally coming on board, and I'm thinking more international. As well since you have that success, is there any change, or are you doubling down on that one the way you do it? Thank you.
Carl Eschenbach: Hi, Raimo. Thanks for the question. First, I just want to again thank Doug Robinson for 14 years of service here at Workday. He was an incredible asset, and I think we all get to sit here at Workday because of his success. So I just want to thank him again. And I actually think between Rob now on board for, you know, three months and Doug, we've had a seamless and smooth transition. Rob obviously has a tremendous amount of experience, especially internationally, and he's already spent time around, you know, both Europe and he's been in Japan already, and he'll be traveling more over the next coming months in international markets to help us expand and take advantage of the opportunity we have, but also the deep network that he has both across customers as well as partner communities. So that being said, not a lot of changes. As you saw from our Q4 performance, I think the go-to-market engine is working really well under the leadership of Patrick, who is our Chief Revenue Officer. And I think Rob, will just make tweaks or refinements to the go-to-market motion to only improve it from here. But no major changes at this time.
Raimo Lenschow: Perfect. Thank you. Congrats.
Operator: The next question is from Michael Turrin from Wells Fargo. Please go ahead.
Michael Turrin: Great. Thanks very much. I appreciate you taking the question. Zane, I just want to go back to the margin potential relative to the guidance and how you're thinking about that. It's clear there are product areas you can reinvest into. I don't think we would have expected all of the leverage from the headcount reduction to potentially flow into the initial guide for the upcoming year. But can you just kind of speak to the trade-offs you're evaluating currently and then how we should think about those in the context of the overall margin potential of Workday from here? Thank you.
Zane Rowe: Yes. Michael, we've obviously laid out a mid-term plan to get to 30% plus through FY '27, and what we've put out this year, moving it up incrementally to 28% allows us to get there. Candidly, as Carl mentioned earlier, we see tremendous opportunity in AI. So we're, I think, doing a good job balancing those investments. We've got David here and his team leaning as heavily as they ever have into our AI investments and our strategy surrounding AI. And concurrently, while we do that, seeing opportunities to continue to scale the business. Obviously, as you grow in the mid-teens, it allows you and affords you that opportunity to continuously think about balancing investments with margin appreciation. And that's what we're focused on and we are literally looking at every part of the organization on how we scale, how we think of efficiencies, and at the same time, how we continue to invest both organically and inorganically. So I think we've got a good balance here. We've got a lot of focus across the Company, and ensuring that we achieve our objectives. And as you saw where we see some opportunities you saw with this year, we'll give it back and provide some upside to the margin. But we've got a good balance there and we think we still got a tremendous opportunity ahead to invest into.
Michael Turrin: Very clear. Thank you.
Zane Rowe: Thank you.
Operator: Next question is from Brent Thill from Jefferies. Please go ahead.
Brent Thill: Thanks. Carl, on federal, you've mentioned some good wins and you feel the momentum there. I think there's been also some concerns. Could things kind of go a little sideways till they figure out the exact direction where they're going with the new administration? I'm just curious if you could lay out how you think that plays out for you over the next year.
Carl Eschenbach: Yes. Thanks, Brent. As you know, over the last 18 months, we've started to lean into the federal business and opportunity more aggressively than we've historically done. And the reason for that is if you look at the federal government, while they spend a tremendous amount of money on technology, the systems they have, specifically ERP, HCM or financial systems are very antiquated. In fact, the majority of them are still on-premises, which means they're inefficient. And as we think about DOGE and what that could potentially do going forward. If you want to drive efficiency in the government, you have to upgrade your systems and we find that as a really rich opportunity. And in the last year, we've laid the groundwork with a couple of significant wins, for example, at the Department of Energy and the DIA to allow us to springboard our momentum in the federal market moving forward. So yes, there's some uncertainty, but there's still tremendous opportunity. And if you want to drive efficiencies across the government, there is a starting point called on-premises solution, getting them to the cloud. And as we speak to the customers, all of them are looking to leverage Workday and what we have in our best-of-breed platform and applications to better service them more efficiently.
Brent Thill: Thank you.
Operator: The next question is from Alex Zukin from Wolfe Research. Please go ahead.
Alex Zukin: Hi, guys, congrats on a solid end to the year. I guess maybe just a two-parter for me. Maybe first, Carl, on the agentic front, we're all trying to kind of grapple with what this means from a TAM expansion point for the systems of record. I'm curious how you guys are framing it in terms of the ability to really monetize and add a tremendous level of new value to your existing customer relationships. And then maybe Zane, what - it felt like, was there a change in calculus that accompanied the RIF in terms of freeing like seeing something that made you want to move faster to free up more, or was that always kind of in the cards for the previous margin guidance? Thank you, guys.
Carl Eschenbach: Yes. Sure. Maybe I'll start. So we are quite excited about the opportunity to bring agents and specifically role-based agents into the enterprise. To do that, you need to bring them in very similar to you bringing your human workforce today, which no one is better at than Workday. We're taking that same framework to securely onboard, right, new agents and digital workers in the same way we have done with human workers in the past. So if there's ever a shift from human workers to digital workers, we're going to still be able to capture the revenue for that as they land on our Workday Agent System of Record. So we think the monetization opportunity we have for both our own role-based agents as well, as David said earlier, new agents either that our customers are building, our partners or even in some cases, our competitors, they have to somehow come into the enterprise. And they're going to do that through a system of record and we believe we're uniquely positioned with our gateway to onboard all agents into the enterprise and we will be able to monetize that. It's also important to note that we have multiple ways to monetize AI. Today, we're monetizing in the platform because we have a lot of functionality around AI in the platform itself. We're monetizing it through some of the things we rolled out in the last year, the Recruiting Agent, Extend Pro, we have things like Evisort, and all of these new agents now we're bringing to-market is another way for us to monetize it. And it's both seat base and consumption-based. So we have lots of opportunity to monetize it and we're excited about what the future looks like, specifically after our last two quarters of performance around AI.
Zane Rowe: Alex, and I'll just add as it relates to the margin profile, there's no change in thought and in-process. We have our parameters and obviously, we have a framework that we work by Carl talked about the opportunity that we have in AI, and we've always talked about growing our top line as well as our operating margin in order to get there. And we see this as a tremendous opportunity to not only invest in the Company, but also think about different ways that we can scale the business and obviously, become more efficient in a variety of areas. So I'd say no balance there - sorry, no change there in how we think about that balance, not only for the next year but in years beyond.
Alex Zukin: Perfect. Thank you.
Carl Eschenbach: Thank you.
Operator: The next question is from John DiFucci from Guggenheim. Please go ahead.
John DiFucci: Thank you. I think my question has sort of been touched on guys, but it's something that I struggled with the last couple of years actually. And we all know that the last couple of years have been challenging, not just for you, but for everybody. But we've always thought of Workday as a good house in a tough neighborhood. Your core business of large transformational deals just hasn't been prioritized in recent years, but you've done a good job, we think any way of doing a lot of things like to offset that, like leaning into partners in a way you never did, going down market and Doug had a big part of that too and continued selling back into the base. I guess my question, and I think it's just a general question, but are we now at a point where the numbers are doable? And if, when things improve, meaning things you don't have control over? You'll come out of this actually stronger than you were during the post-COVID sort of Mardi Gras period.
Carl Eschenbach: Hi. John, thanks for the question. I think you touched on what we're seeing in the market and the opportunity for us going forward. If you just look at some of the areas we've invested in the last few years, we focus on driving our AI solutions back into our customer base. And that motion is working, and not just for AI SKUs, but many of our other SKUs like our financial SKUs, whether it's sourcing, whether it's planning, whether it's accounting center, or a second area of focus is to drive our FINS business back into our customer base. That's working really well. The other motion that's working is we are focused on selling a full suite solution into the market. And we talked about more than 30% of our new business in the quarter was full suite. And if you look at some of our key industries where we focus, whether it's state and local government, higher ed and healthcare, it was greater than 50% of new wins included full suite. So that motion is working and that investment in financials has paid off. And then this quarter, we had a record impact from our partners where they contributed greater than 15% to our new ACV in the quarter. So all of these areas that we've been focused on and we're leaning into, we're starting to see pay-off. Now we got to keep that going as we go into FY '26, but we're pretty optimistic about the investments we've made, the results we're seeing, and the momentum we carry into the new year.
John DiFucci: Carl, is Global Payroll Connect, is that part of what's happening to? Are you seeing any benefit from that yet, or is that just still too early?
Carl Eschenbach: Yes. We are. We have more than 150 partners now part of Global Partner Connect already today.
David Somers: Yes. Real quick. Since October when we launched that - this is David, by the way, we've - Global Payroll Connect has been in 150 deals since we launched back in October. We now have well over 22 partners now leveraging and building on top of GPC already as well, and there's a whole flu in the pipe that are looking to build on top of that capability as well.
Carl Eschenbach: Yes. And the other things, David, we're doing is on the platform side, Workday Wellness has momentum where benefits providers can now build into the platform. We see momentum around obviously Workday Extend and Extend Pro and the build-on Workday platform, we have many of our partners now building and innovating on top of the platform. So our platform approach is clearly paying off as people look to consolidate on Workday.
David Somers: Yes. I was going to say the exact same thing. I mean, I think what we are seeing is we're still early days, but you're seeing a lot of the investment that we've done over the past few years on the platform itself start to actually pay dividends and a lot of things we've been talking about, including as we look at AI and what other agents that we think we're going to build and we've got lots of plans to build more there as well.
John DiFucci: Good stuff. Thanks, guys.
David Somers: Yes.
Carl Eschenbach: Thanks, John.
Operator: We will now take two more questions. The next question is from Karl Keirstead from UBS. Please go ahead.
Karl Keirstead: Okay, great. I just wanted to go back to the point around your decision to reinvest what appears to be most of the savings from the headcount cuts, and in particular, maybe to get a little bit of a better understanding on how your spending mix is changing. So maybe what areas are you trimming as a result of the RIF, whether it's focused on functional areas, or GEOs that you're downsizing? And then conversely, where are those new dollars being freed up to invest in? It sounds certainly like AI, but are there any other new investment areas that you'll direct the funds to maybe an uptick in certain sales rep capacity? So maybe you could describe what's getting cut, what's getting increased to help us understand how the spending mix is changing as a result of the headcount cut. Thank you.
Carl Eschenbach: Yes. Sure. Karl, I'll start and then Zane obviously add anything on the investment or margin front there. So I would expect at this time next year, we will have more headcount at Workday than we did prior to the restructuring, which shows you that we are continuing to invest in the business and there's probably multiple areas we're looking to invest. Yes, it's an AI in the product and technology organization as we expand our agent system of record and we bring more and more role-based agents into the market. We continue to invest internationally. And when I say invest internationally, it's not just in go-to-market, but it's on the product side, and it's also to build out more capacities in locations like India and Costa Rica as we look to service a more global footprint of customers. And then two more areas of focus. We're going to continue - under Rob and Patrick continue to build out go-to-market capacity from a sales perspective. And then as you've seen, the momentum we have around our partner ecosystem is something we want to continue to invest in because we're already seeing a great uptick like 15% of our new ACV this quarter coming from our partners. So they're the key areas that we're focusing our investments on and we are going to lean heavily into the opportunity in the TAM that we see in front of us.
Zane Rowe: Yes. Karl, I would just add, it's not like it's sort of binary as far as there are a number of areas that we were always investing in, and obviously, what you see here is more of a mix-shift into AI and into some of those growth elements. And at the same time across - really across the company, we're all looking at how we scale - how we build inefficiencies as well as invest in both people, process and systems to continue to drive that next leg of growth. So a lot of these investments are investments that also scale and will enable us to grow our margin beyond just FY '27. So we feel good about the balance. We're also becoming more global. And with that, we'd expect to see more workmates around the globe to balance that out as well.
Karl Keirstead: Okay. Thank you both.
Zane Rowe: Thanks, Karl.
Operator: The next question is from Keith Weiss from Morgan Stanley. Please go ahead.
Chris Quintero: Hi, Carl. Hi, Zane. This is Chris Quintero on for Keith here. Thanks for taking our questions. I actually want to go back to the Agent partnership you announced with Salesforce last year, which is super interesting, but didn't hear you call it out in the prepared remarks. So just curious to hear maybe how that integration has gone and has it contributed at all to potentially better win rates at all?
Carl Eschenbach: David, do you want to take the partnership with Salesforce?
David Somers: Sure. I'll jump on that. Yes. And Chris, good talking to you. Yes, I mean, we continue to work on that partnership with Salesforce. As a matter of fact, I'd say we - a lot of what we've done there early days was cutting our teeth and has actually, I think, been instrumental in some of the innovation that we just recently-announced in terms of Agent System of Record and actually understanding and working with them through issues like how do you get an agent from Salesforce to talk to an agent on the Workday side. So we're still progressing with Workday - sorry, with Salesforce on that. I would say the partnership is going really well. It's still once again continues to be early days in that partnership.
Chris Quintero: Excellent. Thanks so much.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. I'll now turn it over to Mr. Eschenbach for final comments.
Carl Eschenbach: Thank you, operator. And again, thank you all for joining today's call. To close, Q4 was another solid quarter, capping off a really good year for Workday. Our results, especially our customer momentum across industries and geographies, demonstrate the diversity and durability of our business and the increasing relevance of Workday's platform. And with our Illuminate AI strategy, our new agent and most importantly our new Agent System of Record, we're unleashing new innovation across our platform that will continue to drive exceptional outcomes for our customers and partners and continue to fuel our growth. With that said, I'll turn the call back over to the operator to close out today's call.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.